Operator: Ladies and gentlemen, thank you for standing by. I am Geli, your Chorus Call operator. Welcome, and thank you for joining the OPAP S.A. conference call and live webcast question-and-answer session to discuss the third quarter 2025 financial results. Please note, a video presentation has been distributed and is also available on the OPAP Investor Relations website. [Operator Instructions] And the conference is being recorded. At this time, I would like to turn the conference over to Mr. Jan Karas, Chairman and CEO of OPAP S.A.. Mr. Karas, you may now proceed.
Jan Karas: Good evening or good morning to everyone. We are glad to welcome you here and present to you a strong set of Q3 2025 results, which reinforces our confidence in achieving full year 2025 outlook. I hope you have enjoyed the presentation distributed earlier today, and we would be glad to answer any questions related to our financial performance. With regards to the hot topic of the proposed business combination with Allwyn, we would like to invite you all to participate to a combined Capital Markets Update this Friday, November 28, at 1:00 p.m. Athens time, where together, OPAP and Allwyn management teams will provide you with additional information regarding the proposed transaction and will answer all your questions. Now let's proceed directly to the Q&A to make the discussion more engaging. Geli, over to you.
Operator: [Operator Instructions] The first question is from the line of Kourtesis, Iakovos with Piraeus Securities.
Iakovos Kourtesis: Congrats on the good set of results. What I would like to ask, as far as I understand, I cannot ask -- this call refers to your results, so I can ask only for OPAP, this I understand. If you have any update on the -- remember that you've said that on 7th of November, you submitted your proposal, your bid for the Hellenic Lotteries concession. If you have any update for us on this front, where is the whole procedure starting at the moment? Second thing is that in the -- during the fourth quarter, do you plan to proceed with any actions that will enhance growth on GGR and will allow us -- allow you to stay above the 5% threshold for GGR growth for the full year, although your guidance calls for low single digit. That will be from my side.
Jan Karas: Thank you for your questions. So on the Hellenic Lotteries licenses tender, first, and for anybody who may not be familiar, we are participating in the second phase of the tender process for the Greek state lotteries license, which we refer to here. And at this stage, we have submitted our binding financial offer. And we are currently awaiting the outcome of the evaluation, which is being conducted by the growth fund. So as soon as we have any news, we will certainly share with you through a public press release. But the first one actually announcing that the ball is now on the side of growth fund. And so the first announcement we should see is from growth fund that we will then follow ourselves. When it comes to your second question, the Q4 obviously is, as always, full of various commercial actions that are supporting the maximum push for the best possible results on the annual basis. Fourth quarter, as always, is a very important period for us, and we believe that we have a solid set of commercial initiatives that should bring us to the year-end with the expectations that we referred to when it comes to our full year outlook. So we are certainly confident to deliver what we have promised to you.
Operator: [Operator Instructions] The next question is from the line of Nekrasov, Maksim with Citi.
Maksim Nekrasov: Thank you for the presentation earlier. I have a couple of questions on your businesses. First is on the betting side. We saw a little bit of decline in the online betting. And I understand the base of last year, right, and some results we saw from the peers. But at the same time, as I understand, offline betting was slightly positive. So I was wondering what drives that difference, right, between online and offline betting performance. And also, I think for at least a couple of quarters, we saw some improvements in the instant and passives and VLT GGR acceleration. So I wonder if there are any specific factors for those 2 businesses, basically acceleration in the last couple of quarters compared to the previous few quarters?
Jan Karas: Let me elaborate on the first question. We will kindly ask you to rephrase your second one because we are not sure we understand. On your first question with the sports betting, we certainly have -- we like to believe that we a have very solid underlying trends, at least from what we see from the data as well as consumer feedback. So everything that needs to be in place is good, healthy, solid and strong and foreseeing further growth of this important gaming vertical, especially when it comes to online. The Q3 was special indeed, and strongly influenced by customer favoring results, and that's probably what you have also commented observed across the industry in general. The difference between online and retail performance is driven by the different structure when it comes to pregame bets versus live bets, which obviously have higher sensitivity on that front. On your second question, would you be so kind and rephrase one more time?
Maksim Nekrasov: Yes. So -- yes, we saw improved performance of VLT and the Scratch in the like second and third quarter of '25, some acceleration compared to the previous a few quarters of bit softer performance. So I wonder what was driving that and whether you think this growth is sustainable for those businesses? And maybe if I may just follow up on the first question, right? And maybe if you can comment on the competition levels in online, right, that you see in sports betting and also on the casino side.
Jan Karas: Okay. So one by one. VLTs and Scratch performance as a result of our focus and commercial initiatives and development of the relevant verticals. Typical example, evolution of the Scratch games portfolio where we put a lot of emphasis on the families, and we want to establish a families of products that people understand better. So the whole offer is much more clearer than before to the customers and when you launch a new product in the family, you are, at the same time, bringing new freshness to the whole family as such with the new product. At the same time, we have launched some exciting new price categories, like the EUR 20 Scratch, which seems to resonate really well with the customers. Similar on the VLT vertical side, innovation of the product offering, new machines, new screens, new experiences, new games, a lot of efforts put into events in our play stores and on the experiential side. So there is a series of initiatives. There's not one thing that made a big difference. It's really that consistency and managing properly the complexity of various initiatives that in total, bring the new energy to these 2 verticals that we are very pleased with when it comes to results. Both VLT and Scratch are businesses where we see further opportunities to be explored. And thus, these are certainly categories that we will continue to actively explore. When it comes to sports betting competition, competition in the sports betting world has always been fierce, that continues to be. We have a lot of respect for our competition. And with both OPAP's own sports betting and casino proposition, we do our best to be competitive. Nice example might be the portfolio of exclusive games we are launching now in Q4 in iCasino. That should refresh the offering because exclusive games is something that customers are very hungry for. And the same goes for our subsidiaries, Stoiximan that is continuing very strong performance and good position to fight the competition in their grounds. So overall, our dual brand strategy continues to be, we believe, a very successful formula for our presence in the competitive online world. Did we cover your questions or anything else you would like to ask?
Maksim Nekrasov: No. It's been very clear. I think more questions this Friday regarding the deal.
Operator: The next question is from the line of Draziotis, Stamatios with Eurobank Equities.
Stamatios Draziotis: Just a couple, if I may. Just firstly, on the outlook, given you've delivered quite healthy growth -- operating profit growth in the 9-month period. I was actually surprised that you've not been more specific regarding what you target for in terms of profitability for the full year. What is it that constrains you from doing that, would you say? And the second question has to do with online, a follow-up, I guess, on the previous questions. You mentioned the tough comps and the results, which were headwinds this quarter. I'm just wondering what growth in online overall you think is sustainable now that some of the vertical are starting to mature. Thank you.
Pavel Mucha: Yes. This is Pavel Mucha. So there is nothing which would constrain our outlook. And we are pleased with the performance so far. And it is true that we feel highly confident that upon a good final quarter, which typically is the case with strong Q4, we realistically expect to comfortably deliver the full year outlook. And also, we confirm our EBITDA margin of 35%. So we are quite comfortable that we will deliver the guidance as we provided it.
Jan Karas: Okay. And on the second question regarding the sustainable growth, our expectations generally are mid- to high single digit to be specific.
Operator: [Operator Instructions] Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to Mr. Karas for any closing comments. Thank you.
Jan Karas: Thank you very much, and thank you all for being with us today and for your continuous interest in OPAP. Our Investor Relations team, as always, will be happy to address any additional questions you still might have after this call. And we will be very much looking forward to see you on the Friday session. You will find all the relevant invites in both OPAP and Allwyn websites. Have a great rest of the day. Thank you.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for calling, and have a good afternoon.